Operator: Good day everyone and welcome to the Prospect Capital Corporation First Fiscal Quarter Earnings Release and Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Chairman and CEO, John Barry. Please go ahead.
John Barry: Thank you, William. Joining me on the call today are Grier Eliasek, our President and Chief Operating Officer; and Kristin Van Dask, our Chief Financial Officer. Kristin?
Kristin Van Dask: Thanks, John. This call is the property of Prospect Capital Corporation. Unauthorized use is prohibited. This call contains forward-looking statements within the meaning of the securities laws that are intended to be subject to Safe Harbor protection. Actual outcomes and results could differ materially from those forecast due to the impact of many factors. We do not undertake to update our forward-looking statements unless required by law. For additional disclosure, see our earnings press release, our 10-Q, and our corporate presentation filed previously and available on the Investor Relations tab on our website, prospectstreet.com. Now, I’ll turn the call back over to John.
John Barry: Thank you, Kristin. For the September 2018 quarter, our net investment income or NII was $85.2 million or $0.23 per share, up $0.01 from the prior quarter and exceeding our current dividend rate of $0.18 per share by $0.05. NII increased due to higher dividend income. In the September 2018 quarter, our net debt to equity ratio was 75.1%, up 3.5% from the prior year. Our net income for the quarter was $83.8 million or $0.23 per share, down $0.08 from the prior quarter. We are announcing monthly cash distributions to shareholders of $0.06 per share for each of November, December and January, representing 126 consecutive shareholder distributions. We plan on announcing our next series of shareholder distributions in February. Since our IPO nearly 15 years ago through our January 2019 distribution at our current share count, we will have paid out $16.98 per share to original shareholders, exceeding $2.7 billion in cumulative distributions to all shareholders. Our NAV stood at $9.39 per share in September 2018, up $0.04 from the prior quarter. Our balance sheet as of September 2018, comprised 87.8% floating rate interest earning assets and 85% fixed rate liabilities, positioning us to benefit from rate increases. Our percentage of total investment income from interest income was 88.4% in the September 2018 quarter, a decrease of 3.4% from the prior quarter as we increased our quarterly dividend income from NPRC and other controlled investments while continuing to focus on recurring income compared to one-time structuring fees. We believe there is no greater alignment between management and shareholders than for management to purchase a significant amount of stock, particularly when management has purchased stock on the same basis as other shareholders in the open market. Prospect’s management is the largest shareholder in Prospect and has never sold a single share. Management and affiliates on a combined basis have purchased at cost over $350 million of stock in Prospect. Our management team has been in the investment business for decades with experience handling both challenges and opportunities provided by dynamic economic and interest rate cycles. We have learned when it is more productive to reduce risk and to reach for yield, and the current environment is one of those time periods. At the same time, we believe the future will provide us with substantial opportunities to purchase attractive assets, utilizing the dry powder we’ve built and reserved. Thank you. I will now turn the call over to Grier.
Grier Eliasek: Thanks, John. Our scale business with over $6 billion of assets and undrawn credit continues to deliver solid performance. Our experienced team consists of approximately 100 professionals, representing one of the largest middle market credit groups in the industry. With our scale, longevity, experience and deep bench, we continue to focus on a diversified investment strategy that covers third-party private equity sponsor related and direct non-sponsor lending, Prospect sponsored operating and financial buyouts, structured credit, real estate yield investing and online lending. As of September 2018, our controlled investments at fair value stood at 41.9% of our portfolio, down 0.1% from the prior quarter. This diversity allows us to source a broad range and high volume of opportunities, then select in a disciplined bottoms up manner the opportunities we deem to be the most attractive on a risk-adjusted basis. Our team typically evaluates thousands of opportunities annually and invests in a disciplined manner in a low single-digit percentage of such opportunities. Our non-bank structure gives us the flexibility to invest in multiple levels of the corporate capital stack with the preference for secured lending and senior loans. As of September 2018, our portfolio at fair value comprised 44.4% secured first lien, up 0.5% from the prior quarter; 21.7% secured second lien, down 0.4% from the prior quarter; 16.3% structured credit with underlying secured first lien collateral; 0.5% unsecured debt; and 17.1% equity investments, resulting in 82% of our investments being assets with underlying secured debt benefiting from borrower pledge collateral. Prospect’s approach is one that generates attractive risk adjusted yields. And our debt investments were generating an annualized yield of 13.5% as of September 2018, up 0.5% from the prior quarter and the fourth straight quarterly increase. We also hold equity positions in certain investments that can act as yield enhancers or capital gains contributors as such positions generate distributions. We have continued to prioritize senior and secured debt with our originations to protect against downside risk while still achieving above market yields through credit selection discipline and a differentiated origination approach. As of September 2018, we held a 137 portfolio companies, up two from the prior quarter, with a fair value of $5.94 billion. We also continue to invest in a diversified fashion across many different portfolio company industries, with no significant industry concentration, the largest is 14.1%. As of September 2018, our asset concentration in the energy industry stood at 3.2%, and our concentration in the retail industry stood at 0%. Non-accruals as a percentage of total assets stood at approximately 2.4% in September, down 0.1% from the prior quarter. Our weighted-average portfolio net leverage stood at 4.58 times EBITDA, down from 4.60 the prior quarter and the second straight quarterly decrease. Our weighted average EBITDA per portfolio company stood at $56.5 million in September, up from $55.4 million the prior quarter. The largest segment of our portfolio consists of sole agented and self originated middle market loans. In recent years, we have perceived the risk adjusted reward to be higher for agented, self originated and anchor investor opportunities, compared to the non-anchor broadly syndicated market, causing us to prioritize our proactive sourcing efforts. Our differentiated call center initiative continues to drive proprietary deal flow for our business. Originations in the September quarter aggregated $255 million. We also experienced $55 million of repayments and exits, as a validation of our capital preservation objectives, resulting on a rounded basis in net originations of $199 million. During the September quarter, our originations comprised 64% agented sponsor debt, 21% non-agented debt including early look anchoring and club investments, 9% structured credit, 4% real estate and 2% corporate yield buyouts. To-date, we have made multiple investments in the real estate arena through our private REIT strategy, largely focused on multifamily, stabilized yield acquisitions with attractive 10-plus-year financing. NPRC, our private REIT, as a real estate portfolio that is benefited from rising rents, strong occupancies, high returning value-added renovation programs, and attractive financing recapitalizations resulting in an increase in cash yields as a validation of this income growth business alongside our corporate credit businesses. NPRC has exited completely. Certain properties including Vista, Abbington, Bexley, Mission Gate, Hillcrest, Central Park, St. Marin, Matthews and Amberly with an objective to redeploy capital into new property acquisitions including with repeat property manager relationships. We expect both recapitalizations and exits to continue. Our structured credit business has delivered attractive cash yield, demonstrating the benefits of pursuing majority stakes, working with world-class management teams, providing strong collateral underwriting through primary issuance and focusing on attractive risk-adjusted opportunities. As of September, we held $965 million across 46 nonrecourse structured credit investments, primarily in the subordinated tranche. The underlying structured credit portfolios comprised over 1,900 loans and a total asset base of over $19 billion. As of September, our structured credit portfolio experienced a trailing 12-month default rate of 113 basis points, down 2 basis points from the prior quarter and 68 basis points less than the broadly syndicated market default rate of 181 basis points. In the September quarter, this portfolio generated an annual cash yield of 14.3% excluding recently reset deals with short-term yield compression and a GAAP yield of 14.4%, down 0.1% from the prior quarter. Cash yield includes all cash distributions from an investment while GAAP yield subtracts out amortization of cost basis. As of September 2018, our existing structured credit portfolio has generated over $1.19 billion in cumulative cash distributions to us, representing around 78% of our original investment. Through September, we’ve also exited 11 investments, totaling just under $300 million with an average realized IRR of 16.1% and cash and cash multiple of 1.48 times. Our structured credit portfolio consists of entirely majority-owned positions where we hold the subordinated charge. Such positions can enjoy significant benefits compared to minority holding in the same tranche. In many cases, we receive fee rebates because of our majority position. As majority holder, we control the ability to call a transaction in our sole discretion in the future, and we believe such options add substantial value to our portfolio. We have the option of waiting years to call a transaction in an optimal fashion rather than when loan asset valuations might be temporarily low. We, as majority investor, can refinance liabilities on more advantageous terms, remove bond baskets in exchange for better terms from debt investors in the deal, and extend or reset the investment period to enhance value. We’ve completed 24 refinancings and resets since September 2017. Our structured credit equity portfolio has paid us in average 19.5% cash yield in the 12 months ended September 2018, excluding recently reset deals with short-term yield compression. So, far in the current December of 2018 quarter, we have booked $87 million in originations and received repayments of $45 million, resulting in net originations on a rounded basis of $43 million. Our originations have comprised 83% non-agented debt, 10% structured credit, 6% agented sponsor dept and 2% real estate. Thank you. I’ll now turn the call over to Kristin.
Kristin Van Dask: Thanks, Grier. We believe our prudent leverage, diversified access to matched-book funding, substantial majority of unencumbered assets, and weighting toward unsecured fixed rate debt demonstrate both balance sheet strengths, as well as substantial liquidity to capitalize on attractive opportunities. Our Company has locked in a ladder of fixed rate liabilities, extending 25 years into the future, while the significant majority of our loans float with LIBOR provide a potential upside to shareholders as interest rates rise. We are a leader and innovator in our marketplace. We were the first company in our industry to issue a convertible bond, develop a notes program, issue an institutional bond, acquire another BDC, and many other lists of first. Shareholders and unsecured creditors alike should appreciate the thoughtful approach differentiated in our industry, which we have taken towards construction of the right-hand side of our balance sheet. As of September 2018, we held approximately $4.7 billion of our assets as unencumbered assets, representing approximately 75% of our portfolio. The remaining assets are pledged to Prospect Capital funding where we recently completed an extension of our revolver by 5.7 years, reducing the interest rate on drawn amounts to one-month LIBOR plus 220 basis points. We currently have $830 million of commitments from 21 banks with a $1.5 billion total size accordion feature at our option. We are targeting adding more commitments from additional lenders. The facility revolves until March 2022 followed by two years of amortization with interest distributions continuing to be allowed to us. Outside of our revolver and benefiting from our unencumbered assets, we’ve issued at Prospect Capital Corporation, including recently multiple types of investment grade unsecured debt, including convertible bonds, institutional bonds, baby bonds, and program notes. All of these types of unsecured debt have no financial commitments, no asset restrictions, and no cross defaults with our revolver. We enjoy an investment grade BBB rating from Kroll, an investment grade BBB rating from Egan-Jones, and an investment grade BBB minus rating from S&P. We’ve now tapped the unsecured term debt market on multiple occasions to ladder our maturities and to extend our liability duration out 25 years. Our debt maturities extend through 2043. With so many banks and debt investors across so many debt tranches, we’ve substantially reduced our counterparty risk over the years. In the September 2018 quarter, we repurchased $154 million of our July 2019 notes as well as $29 million of our program notes. We also issued $100 million of 2024 institutional notes, $26 million of baby bonds through our ATM program and continued weekly [ph] assurances. If the need should arise to decrease our leverage ratio, we believe we could slow originations and allow repayment and exists to come and join the ordinary course, as we demonstrated in the first half of calendar 2016 during market volatility. We now have seven separate unsecured debt issuances aggregating $1.5 billion, not including our program notes with maturities extending until June 2020. As of September 2018, we had $769 million of program notes outstanding with staggered maturities through October 2043. Now, I’ll turn the call back over to John.
John Barry: Thank you, Kristin. We can now answer any questions.
Operator: And we will now begin the question-and-answer session. [Operator Instructions] And today’s first questioner will be Leslie Vandergrift with Raymond James. Please go ahead you’re your question.
Leslie Vandergrift: Hi. Good morning. Thank you for taking my questions. Dividend income this quarter was really healthy, $11 million from the private REIT and $3.5 million from Valley Electric, going forward is that a run rate or how much of that is sustainable?
John Barry: Well, Leslie, as you know, dividends from any operating company are less predictable than interest income, which is contractually stead. So, I would say it’s less predictable. But we would not be taking these dividends now, unless we thought the companies were healthy enough to continue them. Grier?
Grier Eliasek: Sure. To add to that on an expectation basis, we’ve seen substantial uptick in performance in both of those businesses, Valley and NPRC. NPRC obviously is a substantially larger operation for us. We would expect for Valley that dividend to continue, at least in the current quarter. And 2019 is looking quite promising as well, given the growing backlog nature of that business. With NPRC, we currently expect these distributions to continue, not only for the current quarter but into each calendar quarter of 2019 as well. And we’ll see if that’s beyond that. We’ve had significant success with our value added renovation program and have delivered realized IRRs on a growing number of assets in excess of 20%. We have multiple transactions under purchase agreement that are in closing mode right now, 3 more to be exact, beyond the ones that articulated, in each case with non-refundable deposits and well on a way towards closing. I suspect two of those have closed in the current quarter and another transaction in early 2019. And then, we’re always optimizing the book. And in addition to purchasing and making new investments, we’re looking at exiting -- increasingly just through an outright sale. Although, we have recast deals and we’ve examined refinancing options as well. So, we are quite pleased with not only the historical performance of a real estate book but also the outlook and the pipeline of exits. At the same time, we’re replenishing those with new originations. I think on a trailing 12-month basis, our new originations are almost identical to our exits that we have been well in excess of 2 times cash and cash multiples.
Leslie Vandergrift: Thank you. And right now, the markets right where they are and a few more investors moving into leverage lending, is there any industry specific investments that have just been, I guess crazy would be the word for it on deal terms or pricing, any industry that is new that’s worth of waiting right now?
Grier Eliasek: Well, I’ll give my thoughts and then see if John can add to it. But, we try not to be so tops down in analysis to, for a lack of better word, redline certain industries versus others. Having said that, there are some industries that are quite challenged that we tend not to do a whole lot and retail is one of those were we have zero retailers in our book today. And that’s a very difficult industry because of the secular trend towards online commerce and competitive margin drivers. Grocery would be another area we’re seeing significant oversupply going to it. But, with every analysis the company analysis and also capital structure analysis, there are certain technology-related companies that get levered to the hill out there that are levered and priced for that matter to perfection. And we often pass on those opportunities as well. So, it’s difficult to give a generic answer to that. It’s really individual credit by credit analysis that comes into play. John, anything you’d add to that?
John Barry: I guess, Leslie, I bet, you have your own list of auto supply chain, restaurants, gambling. Right?
Leslie Vandergrift: Yes. I would agree on at least three of those.
John Barry: Right. Hotels, so people that are price takers. I remember somebody came in some years ago -- Grier would remember this quite well, came in -- the company is -- well, I shouldn’t name the company, they might not appreciate it. But, they came in for a loan, and the company was in the middle of the supply -- auto supply chain, a price taker on all of the company’s inputs or virtually all, which were mainly commodities, rubber being a significant component. And when the company manufactured products and turned around to sell to the big three, company discovered it was a price taker on that end too. So, that wasn’t an easy one to avoid. One of our competitors went into that transaction, and what I saw was it was restructured. So, we see certain areas where historically we’ve noticed there’s what would I call, price risk, volume risk, fashion risk. And what happens? Do we redline those industries? No. We bear in mind our hard experience in those sectors as we consider whether we might invest. And so, as a result, we do -- we make investments. Grier, I think it’s proper to say in every industry and it’s just the -- what we do is I think is we bring a different lens to each industry and may demand much, much lower multiples, much higher fixed charge coverage, more stringent covenants in some industries rather than others. One of the things we do for example, when we are looking at restaurants, obviously, we want low multiples of debt plus fixed lease obligations to the earnings ability of any restaurant company, but also we want quick amortization. Lender’s best friend is quick amortization. Right? So, we do things that have enabled us over the years to make loans in industries that may be other people would consider tricky. And that’s one reason why we are in many cases able to get interest rates that are unavailable to other lenders who may be don’t bring the same expertise that we do to those industries. Is that helpful?
Leslie Vandergrift: That’s very helpful. Thank you. And I appreciate you taking my questions this morning.
John Barry: We are delighted. Thank you.
Operator: And our next questioner today will be Chris Testa with National Securities Corporation. Please go ahead.
Chris Testa: I just wanted to just touch a little bit on what Leslie was asking about the dividend income. So, NPRC, you guys sold three properties. I’m just curious, how much was the dividend of $11 million relative to the gain on the three of those properties combined?
John Barry: I’ll give that to Grier.
Grier Eliasek: The three properties, total proceeds of $45 million, our cost basis was $17 million. So, you are talking about $28 million gain. But, we’ve actually been building up off of our prior gains undistributed even before that, Chris, and then we have as well as I mentioned three other deals that are in the process of closing and then further ones behind that. So, since we have about 60 properties, I don’t want to say these are on a perfect conveyor belt because it is M&A related and markets can of course change for exits. But, we’ve got a pretty good backlog here -- well book deals as well as the backlog here on a going forward basis. And so with nothing incremental to what’s already occurred or is already under contract, we feel pretty good about sustaining through the entirety of calendar year 2019, as I mentioned. And then, beyond that it’s going to likely depend the magnitude on future exits beyond what’s under contract. And we’re going through an optimization process right now and we will be teeing up some additional properties for exit. Generally, after a whole period of say three to five years, after which time we’ve -- running out a lot of the optimization benefits that we underwrote by substantially completing upgrades of the common areas and the individual units, it’s time to exit and sell to buyers that will pay a premium for those improved properties.
Chris Testa: And just to be clear, were these properties -- are they going to be replenished in the current quarter, are you under contract basically to buy another three properties with the gain minus the dividend paid out?
Grier Eliasek: We’re selling -- we're in a contract with another three properties, on top of the ones that just articulated. But, we already have booked gains. We’ve been banking gains for quite a while. We’ve exited -- I think it’s close to 10 properties at this point. So, then, add another three to that and further beyond. Some properties are of course larger than others. We just sold Amberly for example, which was one of our larger properties. Actually that’s -- I should amend it, we have one that already sold since 9/30 to today, and then we have three under contracts. So, that’s actually four properties since quarter. It’s not reflected in the historical exit results.
Chris Testa: So, when you’re talking about potentially more dividends continue in the current quarter and maybe through at least the beginning of ‘19 for NPRC upto the PSEC level, most of those are coming from kind of gains on sale. Is that a way to look at that?
Grier Eliasek: End of 2019 is what we guided towards, not beginning, end, throughout the entirety of 2019…
Chris Testa: Okay. So, through all of ‘19, got it. And are you guys -- are you looking at this, Grier, as just being sort of a net seller? Are you seeing a lot of the markets where you are getting these gains as kind of frothy and maybe you are not going to replenish the assets as quickly as you are selling them or are there less opportunities in your opinion as to putting the money to work for those?
Grier Eliasek: It’s hard to tell, Chris. We don’t have a predetermined -- we don’t think it’s healthy to have budgets on how much to purchase. If the deal makes sense economically, we’ll do. And if we don’t see deals, we’ll do no deals. It just kind of happened to be that our exits were about equal to our newer adjacent when we added it up after the fact, so probably more coincidental than anything else. The business of buying garden style, Class B, multifamily in various markets across the U.S. is a highly, highly fragmented market. Probably, it came to on the corporate side lower middle market corporate lending. And you’ll have the same secular shift boom of all of money you have in the corporate credit side. You still have the normal cyclical money flows that go in almost every asset classes, but not the secular shift, the double whammy that we see hitting a lot of the corporate credit space that concerning to us and many others for a few years. So, one of those things, there is a lot off market deals, there is a lot of non-auction deals, there is a lot of deals where someone -- it’s a partnership, it’s ending, it’s fixed life and needs to exit, it’s the REIT that needs to meet certain strategic goals. It’s all sorts of reasons why folks still will need to monetize. There is also wide range of operational capabilities out there. We feel very good about our roster of operating management teams, and we’ve built up a nice history of property after property and going the distance on a full cycle basis with many of them. We continue to add horizontally with new management teams and then, vertically on a repeat basis by business with repeat management teams. We like the recession resilience of multifamily, Class B. These aren’t big ticket numbers in terms of what’s paid on monthly basis for rent. We like the interest rate resilience because when rates go up, yes, financing costs can also go up. But, it also makes it more expensive for people to purchase homes and they stay in apartments. This is probably the most resilient asset class in real estate during the last cycle. So this is lots and lots of pluses that makes this a great fit for us, a great fit on a yield and a total return basis. So, we’re going to for the foreseeable continue to deploy capital to this asset class.
Chris Testa: Got it.
John Barry: Chris, just a thing to add because these are great questions. We really -- I greatly appreciate your honing in on this. Much of our competition from what we can see in the real estate arena buys lower cap rate properties with the intention of doing some fixing up, some refurbishment, but holding the property and working around the edges if you will and benefiting from the hopefully declining interest rates. Of course, I wouldn’t be counting on that going forward, in the near-term. And counting on enhanced demand in trophy markets. So, we see quite a bit of that. As I know you’ve discerned, we don’t invest in those markets. We try to get to the undiscovered market before other people and then, when -- and buy B or C, usually C to B properties and do a significant value-add upgrade, I believe you noticed that, in I believe every single, maybe not every single, but almost every single property. When we’ve made our purchase, we have done so with the capital expenditure plan that has been well managed by Ted Fowler and Scott Ramsey and Peter Hopkins and Dan Ackerman. We’re adding to that group as well. We believe we have a niche. And because of the fragmented nature of this market, we don’t see our niche is one that will be readily competed away. Not everybody has what would I call to proclivity or willingness to roll up his or her sleeves and get in there and start changing refrigerators and stoves and upgrading plumbing and changing signs and landscaping and so on. So, I see our strategy as one that takes what one might expect one could get in the real estate market, and adds to it a premium return, based on value-add operations. And I hope you won’t hold it against me that there is two people at our company, they will go in [ph] for now, who’ve been doing real estate investing since the 1970s, when maybe half the people on this call were in bassinets or even younger. Real estate is one of those industries where experience pays significant dividends. I’m very proud of our real estate group. And that from what I can see when I benchmark their numbers and their performance, they had outperformed the competition using this value add strategy.
Grier Eliasek: Two quick things to add to that. Amberly that we sold since quarter-end, Chris, generated proceeds of just over $50 million. Our cost basis was about half that. So, that one adds that alone is another -- I think it’s $24 million or so of additional gains, and that’s before you get to the next three pending deals. The other piece, you talked about deploying capital, whether things get frothy. In general, I think we talked about this a little bit on our last call as well. We did substantial amount of buying the southeast, going back two to five years ago. There is a lot more competition in Florida, in Texas, in the Carolinas, the general Sunbelt than there was a few years ago. We’ve moved a lot of our new originations to the Midwest and Mid Atlantic. We are happy, actually we just bought quite recently a property that is only about a 20-minute drive from Crystal City, which I guess is the worst kept secret that Amazon’s likely to put substantial operations there. And we have actually purchased multiple properties in Prince George’s County in Maryland, not too far from there. So, we’ve been -- had good success in those areas, and we’ll continue to exploit it. It’s a low hit rate business just like corporate credit of a single-digit book to look ratio, Chris.
Chris Testa: And just wanted to touch on InterDent as well. So, I know you guys had assumed control of this position or for the 6/30/18 quarter. Prior to that, the maturity was pushed out from August through December of ’17, then it was defined as past due. I know you’re currently accruing interest. So, were you guys accruing interest when this was defined as past due? And since you guys are taking control, just what, if any changes have you made down to control the company?
Grier Eliasek: Sure. We are now the controlling shareholder, as you mentioned. And what we see there is some very high returning pent-up projects, investments that needed to be made. For example, modernization and digitization on the X-ray side of things, very high returning investments. So, we decided redeploying that capital into the business would generate higher medium to longer term returns for us and decided to pick certain tranches as a result, Chris. So, I think that’s a rational decision-making process and rational outcome there. We have got multiple members at the team that live and breathe that company and credit. And the dental services space is obviously a highly recurring one by its very nature. And we think with some optimization, we’re cautiously optimistic about where we are headed. But, these are not investments that should take a giant leap to pay off on an individual location by location basis when we look at where we are deploying capital for digitization and modernization of X-ray equipment and the like.
Chris Testa: Understood. This was -- when this was defined as past due prior to your taking control, was this accruing interest during that time period as well.
John Barry: It was.
Chris Testa: I’m just thinking…
John Barry: Chris, to be helpful on that. The rule that we understand is the rule that applies -- the first rule is when you get paid cash interest, we record that as income. We don’t put things on non-accrual when we get cash interest. So, we’ve recorded as interest income all of the cash interest that we receive. When we are looking at PIK or some -- any type of deferred interest stream, at that point we look at collectability. But once we get the cash in our bank account, collectability is no longer the issue. So, I believe I’m not speaking on a term with respect to InterDent that we’ve recognized 100% of the cash interest.
Chris Testa: So, the cash coming in was a 100% of what was contractually owed to you given the interest rates on the loans?
John Barry: Well, what we recognized, we did not -- when we -- so, we recognized all of the cash payments made as interest income.
Chris Testa: No, I understand that. I’m just enquiring whether -- so it was defined as past due because of the cash payments coming in were less than what they were contractually obligated to pay you in full. Is that a correct way to look at InterDent?
John Barry: Well, there is more than one tranche there and…
Grier Eliasek: Hey, John, let me -- it’s just simply we went past maturity, Chris, owners [indiscernible] you to key immediately, you got to work out it a little bit.
Chris Testa: I understand. Okay…
John Barry: So, what happened was it went -- Chris -- I believe, Grier, I’m correct saying, the loan -- what happen was, the maturity to loan came and the sponsor was hoping for X, Y, and Z to happen, allow the maturity to occur without paying the loan in full. But I believe all cash interest payments -- I believe interest payments were made in cash and those are recognized, Chris, even though the loan was past maturity.
Chris Testa: Okay. That make sense. I just wanted to get a handle on that. It’s just a lot of moving parts, so appreciate your detail on that. And...
John Barry: And we were -- how would I put this, appreciative that the sponsor acted in what we felt was a proper and constructive way when the company was unable to refinance, repay the debt, sell the company. And we appreciated that. And that was our job to make it a great company again.
Chris Testa: Right. Just looking at the CLO, the equity cash yields were down pretty significantly on the quarter. Was a lot of that due to the refinancing and reset activity during the quarter? And just wondering, if you could provide some color on the par value of what we reset or refied during the quarter.
Grier Eliasek: Let me help out with that, Chris, because there were a lot of moving parts. And when you have significant -- really actually comparing June quarter to September because we reset -- I think it was nine deals, it was a record quarter for resets in June. December is much more muted with only two deals. So, we had a somewhat elevated -- that’s why really encourage folks to look more at GAAP yield than cash yield. Because cash moves around not only because there is a return of capital on top of return on capital from the nature of the asset class but also you get some volatility short-term that occurs from reset. So, especially -- people do it in different ways. For example, we like when we do resets if there is -- sometimes there’s resets where you have so called excess collateral par value flash and basically get paid a big cash distribution at time zero, for certain deals that are performed extremely well. And that’s what happened in the June quarter to cause a spike in cash yield. But also if a deal requires more capital to pay the bankers and lawyers and to resource most C tests potentially, but if there is any capital required, rather than investing it, we rather use cheap financing for that and have a so called X note tranche. It typically amortizes over two years. So, great IRR enhancer. But because you got to amortize that note, it temporary depresses the cash yield. So, moving parts in both directions and across the two quarters. You asked about the last quarter, we only reset two deals. So, I don’t think there was a high par value, probably no more than $40 million or so, give or take, $40 million to $50 million there. From a GAAP yield perspective, which really corrects for a lot of this stuff, we were reasonably flat, down about 10 bps from quarter to quarter, which is basically a function of asset spread, compression continued its march and only having two resets offset it. Comparing it to the current quarter and December, we have already reset three deals. So, we’re already ahead of our September pace. And we have in the queue, let’s see we get all these done, another six, which would take us to nine total, equally in the pace of June. I don’t know if we hit nine or not, Chris, we will see that. That’s our objective. As always, it’s going to be dependent on a lot of factors in our complex analyses on what’s going on with our cost of liabilities and the transaction, modeling, and we are not going to print a deal for the sake of printing a deal. We are only going to do so if it’s NPV positive that we generally look for accretive resets at least a 13% discount rate. So, in many cases, these deals have an imputed IRR that’s triple-digit for these resets. Those are the ultimate no-brainers, if you will. But hopefully that helps a little bit. I know it’s a little bit confusing on the cash side. We encourage folks to look a little bit more at the GAAP side for that reason.
Operator: And this will conclude our question-and-answer session. I would now like to turn the conference back over to John Barry for any closing remarks.
John Barry: Okay. Well, I have a couple hours of closing remarks, but I don’t think anyone is going to be that interested. So, I would like to thank everybody for joining our call and look forward to reconnecting 90 days from now. Thank you all. Bye now.
Grier Eliasek: Thanks, all. Bye.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect your lines.